Operator: Good day and welcome to the GMS Fiscal Third Quarter 2017 Earnings Conference Call. Today's conference is being recorded. And at this time, I'd like to turn the conference over to [indiscernible], Investor Relations. Please go ahead.
Unidentified Participant: Good morning and thank you for joining us today for GMS's earnings conference call for the third quarter ended January 31, 2017. I'm joined by Mike Callahan, President and CEO; and Doug Goforth, CFO. In addition to the third quarter press release issued this morning, we have posted presentation slides to accompany this call in the Investors section of our website at www.gms.com. Turning to Slide 2, on today's call management's prepared remarks and answers to your questions make contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements include matters that are subject to risks and uncertainties that may cause actual results to differ from those discussed today. Examples of forward-looking statements include those related to net sales, gross profit and capital expenditure, as well as non-GAAP financial measures such as adjusted EBITDA, adjusted net income and base business sale. In addition, statements regarding potential acquisitions and future Greenfield locations are forward-looking statements, as well as statements regarding the markets in which the Company operates and the potential for growth in the commercial, residential and repair and remodeling or R&R market. As a reminder, forward-looking statements represent management's current estimates. The Company assumes no obligation to update any forward-looking statements in the future. Listeners are encouraged to review the more detailed discussions related to these forward-looking statements contained in the filings with the SEC including the definitions and reconciliations of non-GAAP measures. Note that references on this call to fiscal 2017 relate to the year ending April 30, 2017 and references to the third quarter relate to the quarter ended January 31, 2017. With that, I'll now turn the call over to Mike.
Mike Callahan: Thank you, Roby [ph] and thank you everyone for joining us today. On our call I will discuss the most recent operating highlights and acquisitions. Doug will then provide details on our financial results and our capital resources. After our prepared remarks we will open up the call for your questions. Now turning to Slide 3, our diversified growth strategy drove improvement across all of our metrics during the quarter. We produced another quarter of record results with net sales growing 33.8% year-over-year to $562.5 million. Our national scale, differentiated service model and successful acquisition strategy has driven considerable momentum in our business resulting a double-digit gains in net sales for the 23rd straight quarter. In our base business net sales increased 15.5%. Stronger residential and commercial activity combined with accretive share gains allowed us to outpace the market. This underlying improvement in our operations is quite encouraging and we also benefited from one extra shipping day during the quarter. Our acquisitions completed over in the past two years have contributed to approximately 60% of net sales growth during the quarter. We made one acquisition in the third quarter which marked our entry into Indiana and shortly after the end of the quarter we closed an additional transaction which expanded our operations in Hawaii. Net income increased significantly to $8.2 million during the third quarter over the same quarter last fiscal year driven by strong sales and margin gains. Our gross margin of 33% was 110 basis points held by pricing discipline, improved purchasing opportunities and mix, and that pushed us above our longer term target of 32.5%. This solid gross margin performance is a valuable strength in our business and directly contributed to the 58.4% increase in third quarter adjusted EBITDA to $40.7 million compared to the third quarter of fiscal 2016. Since our IPO we have made significant operational progress as demonstrated by increasing sales, expanding margins and multiple acquisitions. We are accomplishing this while further strengthening our balance sheet and improving our credit metrics. During the third quarter we took further steps to improve our liquidity with an expansion of our ABL Credit Agreement to 345 million from 300 million and under more favorable terms to GMS. Our leverage profile continues to improve with our net debt to pro forma trailing 12 month, adjusted EBTDA ratio standing at 3.1 times, providing us with the balance sheet strength to continue to advance our growth strategy. Now looking more broadly at our multiple growth drivers on Slide 4, over the past 12 months we've had a strong one with core market share gains, new branch openings and strategic acquisitions, all of this aided by favorable underlying commercial and residential demand. Our balanced exposure to the commercial and residential markets provides us with wider access to project activity which is driving positive results. Wallboard and other products sales have benefited from stronger residential activity while sealing the steel framing volumes have benefited significantly from the pickup and commercial activity. Rise in commercial activity is also having a positive impact on wallboard and other products as well. Through a combination of these factors and the laboring in of acquisitions completed during the past two years, we have grown net sales to 2.4 billion on a pro forma basis in the third quarter trailing 12 month period. This has produced pro forma adjusted EBITDA of $194.4 million during that same period compared to $150.3 million in fiscal 2016. We believe that our multiple growth drivers provide us with a very sustainable path to continued success on the top and on the bottom line. In the third quarter residential demand continued to outpace commercial activity in many markets and we grew faster than the market. This trend was consistent over the past 12 months resulting in notable share gains in our largest business wallboard. Acquisitions accelerated our organic momentum increasing our wallboard share by 120 basis points to 14.3% during calendar 2016 as compared to 13.1% in calendar year 2015. And as I've discussed today these share gains are driving steady margin expansion from national scale advantages and efficiently managed operations. I am extremely pleased with our progress to date in fiscal 2017 and we have a very firm base of activity which we believe will allow us to maintain the solid momentum in margin expansion into the fourth quarter and in fiscal 2018. Now turning to the acquisitions on Slide 5. Since the beginning of the third quarter 2017 we had made two very complementary acquisitions. The first opportunity fit within our objective to acquire leading local distributors as footholds in targeted new markets. And the second was a bolt-on transaction that helped us to deepen our presence in existing market and expand our service capabilities. Now I’ll provide a little bit more detail on both of these great companies. In December, we acquired Interior Products Supply or IPS as the call which marked our entry into the Indiana market. IPS is a leading supplier of interior building supplies to professional contractors throughout Northeastern Indiana and we could not think of a better partner to facilitate our entrance into this market. The highly skilled IPS team's dedication of quality service led by a motivated management team fit like a glove on our platform. And in February we enhanced our presence in Hawaii with the acquisition of Grabber Construction Products Hawaii based distribution business, a highly regarded supplier of fasteners and drywall related products based in Honolulu. Grabber materially expanded our footprint or physical facility and the product offerings stay and combined with the backing of our national resources and support we had a greatly enhanced operation to grow our local share. So our robust deal activity since the start of fiscal '17 really builds on a very long history of successful transactions. Our seasoned operators and employee centric culture allows us to source, purchase and onboard these transactions in order to quickly realize the benefits of our national scale and retain key team members. Accordingly we expect accretive acquisitions to continue to supplement our strong organic growth moving forward. While several of our 2017 acquisitions were quite significant and materially increase revenue on comparable basis, we have a capital resources to continue accessing this robust acquisition pipeline yet stay within our target range of purchase price multiples and prudent leverage ratios. Now with that, I will turn the call over to Doug to further discuss our growth strategy, our third quarter financial results and our capital resources. Doug?
Doug Goforth: Thanks Mike. Beginning with third quarter financial results on Slide 6, our versatile personal approach to win new business complete accretive acquisitions and outpace the tailwinds of stronger demand are driving very positive results in our business. We had a lot of success during the quarter with sales growth of 33.8% to $562.5 million and adjusted EBITDA growth of an even more impressive 58.4% to $40.7 million. We increased base business sales during the quarter by 15.5% year-over-year with double-digit increases in each product category led by other product revenues. We had a marginal benefit from one additional shipping day with 62 days in the third quarter 2017 compared to 61 days in third quarter 2016. Looking at a more detailed breakdown of base business and total sales growth byproduct wallboard volumes increased by 30.5% in the third quarter compared to the third quarter of fiscal 2016 including 15.6% base business improvement. This drove wallboard net sales up 29.5% year-over-year while wallboard price was down slightly year-over-year. It was relatively stable on a sequential basis compared to the second quarter of fiscal 2017. In our exclusively commercial focus business, our ceiling sales increased during the quarter by $16.4 million - ceilings grid volumes had another quarter of growth and ceilings tow volumes saw good pull through demand from great activity in recent quarters. Both ceiling grid and ceiling tow also benefited from improved year-over-year pricing. Steel framing increased during the quarter by $27.6 million, a 41.8% year-over-year including 16.6% on a base business basis mainly driven by stronger volume and price gains. Stronger sales combined with increased product margins help to drive an increase in gross margin of 110 basis points to 33% for the quarter. Our national scale diverse product category and disciplined cost controls continue to drive improved performance in our business and margin expansion in all product category. This improvement was mainly attributable to pricing discipline, improved purchasing opportunities and mix. We continue to make strategic investments in equipment, technology and branch talent including product sales specialist to support expanded opportunities. These investments have been paying off with higher gross profit dollars and during the quarter we further benefited from modest SG&A leverage. As a result, we grew adjusted EBITDA by a solid 58.4% to $40.7 million with our adjusted EBITDA margin of 7.2% up 110 basis points from the prior year. We expect to grow our business based on our creed of investments which we expect will allow us to leverage our SG&A over time to continue to drive additional EBITDA gains. Moving to other products sales on Slide 7. Our sales continue to be led by the exceptional momentum in our other products group which includes joint compound, tools and fasteners, installation and various other construction products. During the quarter other product net sales increased 43.4% year-over-year or 19.2% on a base business basis. This growth highlights the strength in our one-stop shop solution for customers by supplying nearly everything that are typical specialty contractor customer needs on a job side. As an example, during the third quarter we expanded third party sales from our internal distribution operation for tools and safety products. The significant pull-through force of wallboard, ceilings and steel framing sales was also a driving factor of outsized performance in this quarter along with price optimization on certain products and retail showroom expansions and resets. On Slide 8, we take a deeper look at our gross margin performance. The stable improvement in our gross margin is a significant contributor to our adjusted EBTDA growth. Our national scale comprehensive product offering, balanced end markets exposure, and accretive acquisition strategy have given us a more resilient demand profile across multiple points of the cycle resulting in a very stable gross margin profile. In the third quarter of fiscal 2017 on a trailing 12 month basis, our gross margin was 32.8%.This was 90 basis points above fiscal 2016 and 380 basis points above fiscal 2012 which has been achieved through rise in sales and a focus on procurement cost. Most of our wallboard suppliers implemented price increases in late January 2017 which combined with strengthening in market conditions has allowed us to raise price with our customers. With that said, we would like to emphasize in the bottom right chart that our ability to deliver strong gross margin performance is not dependent on higher wallboard price or anyone product in our portfolio. Again our ability to deliver solid gross margin performance is not dependent on higher wallboard price or any one product in our portfolio. As you can see in the top right chart, our margin has generally trended higher with overall rising sales. This clearly demonstrates our ability to steadily grow profitability through our specialty distribution, market leadership, diversified mix of businesses, and proven operating strategies. Turning now to our capital structure on Slide 9. At January 31, our net debt to pro forma adjusted EBITDA stood at 3.1 times. Stable sequentially compared to the prior two quarters and down from 4.3 times as of April 30. Liquidity in the business remained strong with 10.6 million of cash on hand and 214 million available on our credit facility as of January 31. During the quarter we expanded the borrowing capacity of our ABL agreement to 345 million from 300 million, lowered the applicable annual rate by 25 basis points, and extended the term until November 2021. We remain committed to improving and preserving our financial flexibility to execute our growth objectives. We've made tremendous strides to strengthen our capital position during the past several years and we’ll continue to take proactive steps to further improve leverage metrics. Regarding cash flows, during the first nine months of fiscal 2017 we more than doubled our operating cash flows at 36.4 million compared to 17.9 million in the same period last year. Third quarter CapEx remained below 1% of sales which we continue to expect to range from $8 million to $10 million per annum going forward consistent with the prior year. In summary, we're extremely pleased with our progress during fiscal 2017 and over the past 12 months. As we have discussed today, our multiple growth drivers have increased sales to approximately 2.4 billion on a trailing 12 month basis pro forma representing approximately 27.7% growth year-over-year on a pro forma basis. We believe net sales will continue to grow in the coming quarter and into 2018. While our gross margin in fiscal 2017 has performed better than our current expectations of 32.5%, we continue to see that margin level as the appropriate near-term expectation. We remain focused on driving higher gross profit dollars to outpace strategy SG&A investments and spend. This will allow us to grow adjusted EBITDA while improving our adjusted EBITDA margin as a percent of net sales year-over-year. Given our position as a leading specialty distributor, we believe we can accomplish this profitable growth in a lower risk, more efficient manner as we complete fiscal 2017 and look ahead to fiscal 2018. Mike?
Mike Callahan: Thanks Doug. In conclusion looking at Slide 10, again thank you for joining us today. We have worked very hard to profitably grow our Company for more than 45 years with an objective to be among the best specialty distributors in the business. And more recently since our IPO, we have added to our list of accomplishments with strong double-digit sales growth for consecutive quarters and a 60 basis point improvement in trailing 12 month adjusted EBITDA as a percent of sales. Since our IPO, we've added nearly 20 branches including 16 from very complimentary acquisitions to end the quarter with over 200 branch locations. As a result, we have further solidified our position as a leading North American specialty distributor of wallboard, ceilings and complementary interior construction products. And in addition to this progress, we have improved our leverage metrics and expanded our capital base on more favorable terms to fuel our future growth. In February, we successfully completed a secondary offering which has allowed additional investors to participate in the very exciting story that continues to unfold here at GMS. We are very focused on driving value for our shareholders and we truly believe that we are well situated to sustainably produce above market growth through our relentless focus on operational excellence and our customer centric differentiated service offering. With the continued dedication of our talented and highly motivated colleagues throughout the country, we believe we have the right strategy along with a very strong capital base to expand our industry leading positions at attractive margins and continue to pursue accretive acquisitions. And again we sincerely appreciate your interest in our Company and look forward to fielding some of your questions this morning. Operator, we're now ready to open the call up for questions.
Operator: [Operator Instructions] And we'll take our first question from Mike Dahl of Barclays. Please go ahead.
Matthew Bouley: Hi, good morning. This is Matt Bouley on for Mike today. Thank you for taking our questions. I wanted to start out with a question on gross margins and the ability you mentioned to push product margins, kind of regardless of what's happening with the manufacturer price increases. So I guess Mike or Doug, I mean would you be able to elaborate a little bit on just how the procurement and pricing optimization strategies you're doing. I have gotten margins to where they are today and then how you see those factors playing into the fourth quarter and I guess in the context of your longer term target? Thank you.
Doug Goforth: Sure Matt, this is Doug. I alluded to somewhat in my comments I mean - in the third quarter we had some not only the discipline pricing but we had some purchases opportunities that we were able to capitalize on particularly around some of our product, annual calendar rebate programs that we were able to really kind of maximize that. So we talked about before, our purchasing group here which control the national relationships with the wallboard guys just done a phenomenal job working with all of our divisions to make sure that from a price standpoint we’re optimizing our purchases. And so those guys work together closely regularly updating each other on how we’re trending et cetera to make sure we get there. And then once they achieve the current year's goals they work on expanding those goals for the next calendar year. On a pricing point of view with our level 9 pricing tool in our ERP system, that really helps the divisions maximize their price. They had tiered pricing for different products and customers it gives the guys right there on the spot when they're quoting work the recommended prices it doesn't require them to take that because it just local business they make those decisions but it certainly flags when those exceptions where we’re not taking that price, it goes up to the managers who are running those places locally and they pay pretty close attention to that. So that's making sure that particularly on those other product categories that we’re really getting the appropriate price from our customers to pay for our service.
Mike Callahan: Yes, I would emphasize to the other product components, the other product sales growth and the opportunities there we’re really just kind of plowing the surface on that at this point too. So we see a lot of additional opportunity and growth in that component as well.
Matthew Bouley: Okay, got it. Thank you for that. So from my follow up I wanted to ask about the M&A market and how deal multiples are trending. Have you sensed any changes in the competitive environment for deals and just how is your sourcing of deals progressing this year? Thank you.
Mike Callahan: Okay Matt, this is Mike, I would tell you the truth it's been pretty consistent. I think we probably are competing on acquisitions with the same - probably the same players and had not seen any shifts there. And I think the multiples are relatively consistent have not seen a big change in that. As far as the pipeline goes, it is really consistent this year to last and the year before I mean we probably have about 15 to 20 active discussions or active opportunities at varying stages in the process at any one point in time and that really hasn't shifted. And so I think the market is going to continue to consolidate and we intend to take a leading position in that consolidation.
Matthew Bouley: That's great. Thanks guys.
Operator: And we will move on to our next question from Bob Wetenhall from RBC Capital Markets. Please go ahead.
Bob Wetenhall: Hi Mike, Doug, good morning. You guys hosted terrific piece business growth and it sounds from your prepared commentary that the residential side is booming and you're also seeing uptick in commercial. Can you give us a little bit more granularity around what you're seeing in the field and is this something that was kind of consistent with your internal forecast or head of what you're expecting and how do your feet is unfolding during the rest of the calendar year?
Mike Callahan: Well we actually got a little bit of feedback from some of our guys in the field. I would say that is just kind of general statement particularly in some of the bigger major metro markets. We’re seeing significant activity an uptick in Class A construction space. And so you know that drives obviously the full complement of products from ceiling steel, wallboard you name it and that seems to be a common story throughout the country. So I think that’s definitely a big factor and of course we continue to see work around any college, cities or towns or military bases and that kind of thing that tends to drive a lot of the commercial activity as well. But I would say and I’d say it’s probably consistent from where we thought this market was going to hit it maybe a little bit better but it's certainly a pleasant surprise a bit surprised because we definitely have seen some strong backlog and really continuing strong float activities to tell you the truth.
Doug Goforth: And Bob we've been telling you guys forever that ceiling is a double-digit business right. Don’t model that but as Mike - just to kind of add to that on the thing about the Class A and the expansion there is, that's obviously higher end product going in there. So you got not only higher end ceiling tiles but also higher end grid et cetera. So that’s a driver yes - that Mike talked about a lot of the big projects that are going on really all over the country, almost all of our divisions saw a double-digit growth particularly on commercial products and it's really - you can kind of follow the cranes there. If you look at a place like Seattle and see just how many cranes they have going out there particularly compared to their share of all the cranes in North America that's really in those areas in those markets where we have a meaningful presence that's where we’re seeing it.
Bob Wetenhall: Well speaking of tech companies, you guys have a gross margin like Facebook I mean 33% is pretty sweet. If you see wallboard pricing stick and you also get kind of customary increases in ceiling grid and tile. How much more of room to run do you have on the growth line and you are making some SG&A growth investment but the 7% margin is great for distributor. What can that go to the recovery and fall and if there is going to be driven more by then it did from gross margin contributions and more leveraging SG&A?
Doug Goforth: Well I’ll let Mike take the question but I just want to hit on one thing that was 7% for the quarter we're an 8% EBITDA business right now over 8%. So that third quarter is our trough quarter because even though it was a mild winter it’s still a traditionally slower time of year. So that's really when our EBITDA as a percent of sales tends to be at its lowest point so our expectation is to jump back up to what we saw in the previous quarter first and second quarters and then as we talked about we’ll continue to accelerate in the future. Mike?
Mike Callahan: Yes, Bob as far as the pricing of the upside opportunities we certainly, I mean it would be our goal to continue and I think it's highly possible for us to continue to expand you know the profitability base as far as the pricing goes we still maintain the position that the manufactures are very firm in holding the price we’re up - our prices are up and we’re floating the up number dollar of our customers. So I mean as far as pricing goes A, we think it's very, very solid right now and we think we’ll continue to generate operating leverage from our SG&A investments and our EBITDA can continue to expand I mean it’s a I think we’re very, very good position as we talked about earlier.
Doug Goforth: I would add that just some of the public manufactures have said it's really April when you’re going to see find out what is going to stay.
Mike Callahan: What’s going to settle yeah, yes.
Bob Wetenhall: You got a view on magnitude of price increases that you guys are up across the network. Is it mid single-digits, low teens kind of ballpark?
Mike Callahan: No, we'd rather talk to that in April timeframe.
Doug Goforth: Yes, that's not great.
Bob Wetenhall: Fair enough. And one other question, your other product segment have shown exclusive growth, you selling that product line and why is the growth so extraordinarily strong?
Mike Callahan: Well, that includes installation tools fasteners joint cement, specialty products like [indiscernible] and things such as that. And I'll tell you the truth I think a lot of this comes with the fact that we've just put a lot of energy and focus on our retail showrooms. I mean you see those, they really do showcase the broad array of products that we can offer and we put some corporate resources and frankly we put incentive programs in the field level to help drive those sales with specialty salespeople who really do focus on growing that product line. So we're really fighting that battle of a number of front and I think we're generating very positive returns as a result of the focus on that.
Bob Wetenhall: So the models working you see that return to half leverage in a year basically and you took out the M&A program what's your leverage target and once you get there, what you’re going to do with the extra free cash flow you have. Thanks and good luck and congrats on a great quarter.
Doug Goforth: Thanks Bob.
Mike Callahan: Well as we talked about short-term or priority or acquisitions, CapEx and then paying down debt longer-term both Mike and I believe that the appropriate leverage target for the Company is less than 2.5 times. And that's - when we turn around and clip it, that were the acquisition phase is slowdown to maybe two or three year a year more focused more on paying down debt than CapEx then the acquisition. So that's we’re at and we can get there pretty quickly once the acquisition has slowed down. Operator next questions please, next.
Operator: And we move on to a next question from David Manthey from Baird. Please go ahead.
David Manthey: Hi, good morning guys. Last quarter you implied that steel framing pricing I believe was after double digit number I'm wondering if you can give us an idea of what it look like this quarter and also on ceiling, I think you mentioned you're getting some positive pricing there any sort of bigger than a breadbox information about this quarter.
Mike Callahan: So both ceilings and steel on a price basis were up about - between 3% and 4% on average from last year. The rest of the increase was volume.
David Manthey: Okay, all right. And then price of side, you mentioned some of the Class A which is probably leading to a positive mix there. Could you talk about the mix of products whether you're seeing stronger your half inch 5A setting increasing more resistant product anything else that would be helping that price mix variable.
Doug Goforth: 5A was up a little bit in some of the specialty products but I wouldn’t say meaningfully it was really more impactful on the ceilings and the grid side of things.
Mike Callahan: Yes. I think we're seeing continued growth - well first half the Class A space is going to come in, I think Doug touched on this earlier a higher value at AUV type of product price. So you can have hiring in product going in and frankly the AS products, the architectural specialty products continue to grow and we've got a lot of focus on that and the guys are hitting some pretty good home runs with some very significant work out there on the AS arena as well.
Operator: And we'll move on to our next question Keith Hughes from SunTrust. Please go ahead.
Unidentified Analyst: Thanks. This is Jillian for Keith. If I could just put in one more on the ceilings, can you talk about the pick-up in the commercial environment and the Class A space, what about just for the renovation or this those type of projects that kind of activity or versus kind of like just big projects, big jobs.
Mike Callahan: That's really on Class A, it's really both Judy, I mean I'm sure you’ve been here in Atlanta you know some of the bigger projects that are going on Georgia Pacific is redoing their tower. So there is a mix of both new R&R I mean particularly I mean there is just a lot of companies that I think feel comfortable now and investing in on the R&R side of things and again that tends to be higher in product.
Doug Goforth: And of course that plays to our sweet spot in terms of service and deliveries because that a lot of those jobs require after hour stocking in delivery to an existing structure in the likes, so it really does play into more service model as far as the - as far as our capabilities to do whatever we need to do at night or in the morning or whatever to get the job done.
Mike Callahan: And we have also particularly in this market benefited a lot from the stadium work as both of those guys are getting pretty close to completion particularly the SunTrust Stadium which we had a lot of work go into in the third quarter.
Unidentified Analyst: Okay, great. And then just one more on the other products with the good growth that you saw there seems like it is a combination of lot of things aside from just pull through of the complementary products. How far are you on kind of the retail initiatives that you talked about last year kind of expanding the showrooms and on that?
Mike Callahan: Our marketing group has assisted with about 40 locations at this point and it is kind of some of the targeting some of the larger locations obviously but we have also had some of our divisions that have done a lot of things on their own and I'm not really sure what that number is but I would say we are probably about maybe 30% through that.
Doug Goforth: 30% to 40% of most, and that exciting thing about that too is that so many of these acquisitions, we have an opportunity to - we bring them companies into the fold and they see what we are doing with the retail showrooms, we have an opportunity to really refresh their inventory offering in most cases would be to expand the showroom and it creates a whole new energy levels and enthusiasm it does businesses frankly helps to drive our tools for warehouse subsidiary to continue to drive more product sales to our networks. So it is really a great symbiotic relationship between the acquisitions and the expansion of the product category.
Unidentified Analyst: Okay, good point. Thanks.
Operator: And we'll take our next question from Kevin Hocevar from Northcoast Research. Please go ahead.
Kevin Hocevar: Hi, good morning guys. Nice quarter. I was wondering if you could help me - on Slide 6 you showed that your base business wallboard volume was up 15.6% and that base business wallboard sales were up 13%. So if I’m reading that right, I think it implies price and mix were 2.6% headwind. Am I reading that right and if so could - how much of that is like for like price versus geographic or product mix.
Mike Callahan: Your number on price is pretty close, in terms of what was on site - repeat your question on…
Kevin Hocevar: Those of that call it 2.6% I guess how much is like for like price versus just geographic or product mix between half inch 5A, how much was price versus mix.
Mike Callahan: Well as we talked about earlier that the mix at least between half inch and 5 inch didn’t really change that much and on a geographic basis is not really that change. So it's really just kind of overall product price changes.
Kevin Hocevar: Got you, okay. And I was curious with - how does you - wallboard manufactures is likely seeing inflation with paper price is there gone up a lot. Does that - how does that factor into your conversations with them as time progresses and do you expect that have to have a factor on, on the price of wallboard as we progress through the year.
Mike Callahan: Well, I mean I would say that certainly raw materials cost not just paper but energy and the like, I mean they've experienced increases in all of those areas and that's a lot of the conversations that we have with our customers in trying to explain why we're going up. And so - frankly I think as paper board or paper cost continues to go up they’re going to have the same issues to deal with and I would anticipate more prices going forward. Whether that happens in the year, I don’t know about that but they certainly if I think if left the door open that if there were a rapid rise in cost they believe that door open.
Kevin Hocevar: Got it, okay. And then curious if in terms of your inventories - I think last quarter you said it was tough to do any pre-buy because there was a wallboard because it was going out the door as quick as you're getting it in. It look like your inventory at least on a per branch basis was up a little bit but not a whole heck of a lot, so was that kind - did that remain the case without the quarter or were you able to do any pre-buy ahead of that price increase or wondering if you comment, if there was any pre-buy activity ahead of the wallboard price increase.
Mike Callahan: It was fairly limited. We had a little bit but a again the product was still turning 14 times the year at wallboard, so it's still at same situation, it's just really hard to getting - you know really meaningful amount of extra inventory ahead of price increase.
Kevin Hocevar: Okay, all right. Thank you very much.
Operator: And that does conclude today's question-and-answer session. I'd like to turn it back to Mike Callahan for any additional or closing remarks.
Mike Callahan: Well again we really appreciate your participation on our call today. And we look forward to reporting next quarter results. Thank you.
Operator: And this does conclude today's presentation. Thank you for your participation. You may disconnect.